Operator: Good afternoon, and welcome to SunPower Corporation’s Third Quarter 2015 Results Conference Call. Today’s call is being recorded. If you have any objections, please disconnect at this time. I would like to turn the call over to Mr. Bob Okunski, Senior Director of Investor Relations at SunPower Corporation. Sir, you may begin.
Bob Okunski: Thank you, Tori. I would like to welcome everyone to our third quarter 2015 earnings conference call. On the call today, we will start off with an operational review from Tom Werner, our CEO followed by Chuck Boynton, our CFO who will review our third quarter 2015 financial results. Tom will then discuss our outlook for Q4. As a reminder, a replay of this call will be available later today on the Investors Relations page of our website. During today’s call, we will make forward-looking statements that are subject to various risks and uncertainties that are described in the Safe Harbor slide of today’s presentation, today’s press release, our 2014 10-K and our quarterly reports on Form 10-Q. Please see those documents for additional information regarding those factors that may affect these forward-looking statements. To enhance this call, we have also posted a set of PowerPoint slides, which we will reference during this call on the Events and Presentations page of our Investor Relations website. In the same location, we have posted a supplemental data sheet detailing some of our historical metrics as well. Finally, I would like to remind everyone that we will be hosting our 2015 Analyst Day on November 12 starting at 9:00 a.m. Eastern Time in New York City. We will be webcasting this event on our Investor Relations website and we will post our slides prior to the beginning of the event. With that, I would like to turn the call over to Tom Werner, CEO of SunPower, who will begin on Slide 4. Tom?
Tom Werner: Thanks, Bob and thank you for joining us today. I will start by providing some brief comments on the quarter before discussing our performance in greater detail. Q3 was another solid quarter for SunPower. Demand remained robust across all three of our end segments and we were able to exceed our financial targets for the quarter by virtue of strong execution. In our power plant segment, we achieved important development milestones on a number of large scale projects, including Quinto, Henrietta and Hooper. We also continue to grow our international power plant business in key global markets, completing projects in France with Total and in China for Apple. Our distributed generation business remains solid driven by strong global residential market demand and increasing traction for our PV integrated micro-inverter solutions, where demand is significantly ahead of plan. In our commercial business, we recently launched our new low cost Helix platform, while adding to our growing North American commercial pipeline. Finally, we executed on our project commitments, including the 13-megawatt UC Davis project owned by 8point3, which reached COD at the end of the third quarter. Upstream, we performed extremely well, again, achieving record sell output in manufacturing yields. Average solar cell efficiency across all lines is close to 23% during the quarter with panel efficiency ranging from around 20% to over 22.5%. The build-out of our Fab 4 continues and we remain on track for large scale production in 2016. Finally, we continue to deliver on our sustainability goals with three manufacturing facilities now Cradle to Cradle Silver Certified. This designation recognizes our efforts to achieve sustainable manufacturing processes for our products. We are the first solar company to achieve this certification and intent to certify all of our facilities in the future. I would now like to provide more color on each segment of our business starting with power plant. Please turn to Slide 5. In the Americas, we completed construction at our 135-megawatt Quinto project and expect the project to reach COD in the fourth quarter. This project is the cornerstone of our initial 8point3 portfolio and we are pleased to be on schedule in completing this project. We closed financing on our 102-megawatt Henrietta project during the quarter in construction of this project as well as our 50-megawatt Hooper project are on track. We expect to drop these projects down to our 8point3 joint YieldCo vehicle within the next 12 months. We also continue to expand our pipeline organically and recently announced that we signed a 20 megawatt PPA with Sulphur Springs Cooperative in Arizona with delivery in 2016. In EMEA, we are focused on enhancing our market footprint in France and South Africa. In France, President Francois Hollande attended the dedication of our most recent project, a 12-megawatt project for RG. With this dedication, we have now supplied over 40 megawatts of projects for RG and France continues as a key EU market for SunPower. In South Africa, our 86-megawatt Prieska project remains on plan. In APAC, we made good progress on our project pipeline in Japan and achieved completion of our 40-megawatt project in China for Apple. This brings our global partnership with Apple to more than 180 megawatts and we look forward to continued cooperation in the future to help Apple meet their long-term renewable energy goals. I would now like to briefly discuss our DG business. Please turn to Slide 6. Q3 was another great quarter for our DG segment with strong demand for our industry leading smart energy solutions and financing options. Once again, the U.S. and Japan were the key drivers of the business with the EU market stable. We remain on plan to end this year with more than 500,000 global DG customers. In our U.S. residential business, Q3 was another strong quarter as we grew megawatts sequentially and saw further traction with our lease product. Both lease bookings and installed megawatts increased more than 50% year-over-year. In particular, we are pleased to see significant early success with our utility partnerships, including ConEd and Dominion. For example, in our initial quarter of rollout, we booked more than 400 leases through ConEd. As I mentioned earlier, we are seeing significant traction for our PV integrated micro-inverter solution with demand exceeding capacity. This solution lowers overall system cost while leveraging SunPower’s industry leading technology to maximize energy production. We expect volumes to increase significantly in 2016 due to the recent introduction of our higher power Gen 3 micro-inverter fitted to our 96-cell panel. This solution will drive even better economics for customers and installers. We also continue to invest in our next generation smart energy residential solar platform, including further expansion of our storage offerings. While still early, we have already signed close to 1,000 storage contracts to-date in both the new home and retrofit markets. In the commercial segment, we executed well as our 13-megawatt UC Davis project reached COD at the end of September. This project is now owned by 8point3 and will be a key contributor to the YieldCo’s initial portfolio as cash flow. We also added to our product line of both new and existing customers. In addition, we recently launched our Helix platform towards world’s first fully integrated commercial solution. This innovative platform builds upon close to a decade of experience in the commercial market and for the first time seamlessly combines with hardware and software to enable customers to maximize value of their solar investment. Designed for the rooftop, carport and commercial ground mount markets Helix delivered significantly lower cost and improved reliability, while accelerating installation times. When paired with our proprietary energy information services offering, or EIS, this solution gives customers unprecedented visibility and control over their solar energy production and consumption. Initial response to Helix has been very strong from both new and existing customers with 20 megawatts already booked, including 8 Bed Bath & Beyond locations. We look forward to providing additional details about the product at our upcoming Analyst Day in November. We expect to be – we expect 2016 to be a very strong year in DG as demand fundamentals remain solid due to technology improvements, cost reductions in the ITC environment. We are also increasingly positive on prospects for 2017 and 2018 as our pipeline continues to build. I would like now to finish my formal remarks with a brief overview of what we are planning to cover at our Analyst Day on November 12. Please turn to Slide 7. We will be highlighting a number of key topics during our presentation. First, how SunPower is well-positioned to capitalize on the continued global growth of solar, including our long-term strategy, capacity plans and our competitive position; second, in overview of our industry leading technology and new product introductions and how this fits into our solution roadmaps. Third, we will provide a detailed overview of our financial model, asset monetization strategy and our 8point3 fits into these plans. Finally, we will be providing formal 2016 guidance. In summary, Q3 was another strong quarter for the company as we executed on our project commitments, expanded our pipeline and progressed on our costs and technology roadmaps. We see continued strong global demand and we are excited about the launch of our new products in the growth of our global project pipeline. With that, I would like to turn over the call to Chuck, to review our financials. Chuck?
Chuck Boynton: Thanks Tom and good afternoon. Please turn to Slide 8. I will spend most of my time today reviewing our Q3 results. Q3 was a very strong quarter for the company, as we beat our financial plan. We generated $54 million in EBITDA, while building our holdco asset base and executing on our projects for 8point3. Our over performance was primarily driven by strength in our North American residential and commercial businesses. In addition, our Q3 results reflect the impact of our holdco strategy that defers revenue and margin to the future. Q4 and 2016 bookings continue to increase, which positions us well for long-term growth. Specifically on the P&L, non-GAAP revenue was at the top end of our forecast due to strength in our DG business. In commercial, we completed construction of our 13-megawatt University of California, Davis project. As you know, this was a project sold to 8point3 as part of the IPO. Because construction was completed this quarter, we have recognized revenue and margin for non-GAAP, which is based on IFRS. Our residential business also showed sequential improvement as demand remained strong going into next year. However, as expected power plant revenue declined as we continue to build projects in our balance sheet rather than sell them prior to construction. We expect Quinto to reach COD this quarter triggering significant revenue and margin recognition in Q4. Our non-GAAP gross margin for the quarter was 17.7% and above our target, as we benefited from a mix shift to residential and commercial, including recognition of our UC Davis project. Power plant margins were on plan, but down sequentially due to our holdco strategy, which affects the timing of revenue recognition on our projects. As I just mentioned, we expect a significant increase in power plant margins in Q4. Commercial margins were ahead of forecast for the quarter. We will also expect strong margins in Q4, as we have recognized revenue on our Macy’s and Riverside public utilities projects, both owned by 8point3. As Tom mentioned, we officially launched our new Helix product line this quarter, a product line that offers significant cost reductions and decreased installation times compared to our current generation of commercial products. In residential, our business was solid as we saw strong North American installations in Q3. Non-GAAP residential margin for the quarter was 22.2% and positively impacted by a high percentage of cash sales. North American cash and loan sales totaled 61% of our shipments, while 39% were leased. Overall, we deployed 90 megawatts of residential products globally, up 17% sequentially. Lease bookings were 28 megawatts in Q3, with cumulative lease bookings up 245 megawatts, excluding the 45 megawatts we sold at 8point3, earlier this year. Net contracted payments were $938 million, excluding the residual value. This is also net of the approximately 6,000 leases we have sold to 8point3, which represented $258 million in net contracted payments. In addition, NCI for the quarter was $31 million, primarily the result of strong installs in the channel. Third quarter non-GAAP OpEx was up sequentially as we continued to invest in complete solutions and other strategic initiatives. We expect OpEx to increase slightly in Q4. Our factories ran at full utilization with record yields and cell output. Additionally, we are continuing the construction of Fab 4 and plan for volume production in 2016. CapEx for the quarter was $64 million and we expect spending to increase in Q4, as construction of Fab 4 progresses. Moving on to our holdco strategy, please turn to Slide 9. This chart summarizes our holdco asset portfolio for the third quarter, which has reached 1 gigawatts of projects under contract, including 8point3 IPO projects that have not yet reached COD. Now please turn to Slide 10, where we provide a more specific view of our holdco assets by project. We deployed approximately 80 megawatts in the third quarter and have now installed all panels on our 8point3 IPO projects, which are on track for COD in Q4. We expect to deploy an additional 50 megawatts of holdco assets in the fourth quarter. All assets are either part of our initial 8point3 portfolio or part of the ROFO. Finally, I would like to mention that we currently expect our first official project dropdown to 8point3 in early 2016. Looking forward, due to our pipeline development, strong backlog of projects, new product introductions and continued strength in industry fundamentals, we are well positioned to meet our financial goals in 2015 and 2016. Tom?
Tom Werner: Thanks, Chuck. I would now like to discuss some of the highlights of our guidance for the fourth quarter. As a reminder, we believe that EBITDA is the most appropriate measure of our ongoing business. For Q4, non-GAAP guidance is as follows. We expect revenue of $1.25 billion to $1.3 billion, gross margin of 28% to 29%, EBITDA of $300 million to $325 million and megawatts deployed in the range of 275 megawatts to 305 megawatts. On a GAAP basis, the company expects revenue of $300 million to $350 million, gross margin of 5% to 6% and GAAP loss per share of $1.25 to $1.50. Please note that our Q4 2015 GAAP guidance reflects the impact of our holdco strategy as well as the deferral of revenue and margin due to real estate accounting treatment. Capital expenditures in the fourth quarter are expected to be in the range of $115 million to $165 million. We are also raising our 2015 EBITDA guidance to $475 million to $500 million from $425 million to $475 million. With that, I would like to turn the call over for questions. In addition to Chuck, we also have Howard Wenger, President, Business Units and Bob Okunski, our Senior Director of Investor Relations.
Operator: Thank you, speakers. We will now begin our question-and-answer session. [Operator Instructions] The first question comes from Tyler Frank. Please announce your company name.
Ben Kallo: Hi, this is Ben Kallo. Hi, Tom. Hi, Chuck. Hi, Bob. The stock prices of all the solar stocks are down and I am just wondering Tom you have been through the bad cycles before, if you see anything else there that gives you pause, I mean the results seem very good, commentary seems very good, outlook seems very good, so what are we missing?
Tom Werner: You are right, I have to seen these cycles and if there was a lesson learned or what worked was to state a course. And I think our quarter was great. We beat the quarter and we raised our EBITDA guidance significantly for the year and we go into ‘16, I am thinking really strongly about the business. If there was a thesis that maybe is that we need to communicate effectively with our investors, it would be on the way business will flow through ‘16 and ‘17, particularly if the ITC does dropdown, which we believe we can manage through with our new product pipeline. The other thing that we will and continue to communicate and certainly communicated at our Analyst Day is 8point3 and how 8point3 is different. I think if you look at the history of MLPs, you will see that they can’t [ph] be cyclical. So we are patient and strong believers in the long-term of 8point3. And then lastly, our innovation engine is moving towards products and the balance of system part of things that we are innovating on complete solutions and we have just started to communicate that. And that’s over half of the cost of systems for most applications. So, interestingly, investors should start tuning into that more than the module. So, those are a few things that I think we need to do a good job communicating at Analyst Day and thereafter.
Ben Kallo: And then one other thing is you guys you talked about capacity expansion in the market where everyone is questioning whether or not capital markets are open. How do you guys look at bringing on new capacity and your capital needs, what should we expect from you as far as capital needs go? Thanks guys.
Tom Werner: Yes, thanks Ben for the questions. I will take first part and then turn it to Chuck. On capacity expansion we will be ramping our latest generation technology in volume production starting in Q1 of next year. That production will be highlight differentiated. It is – our IBC technology or interconnected back contract technology, which has gigawatts of production experience underneath it, but is an advanced version of it, that has panels shipping that are above 22%, averaging somewhere between 21% and 22.5%. So, it is a highly differentiated product. So, we are bullish. We are committed and we are expanding. On Analyst Day, we will give more of the sense of expansion beyond that timing of another fab and timing of growth in general. So, I will save further comment on further expansion for that. And then in terms of capital?
Chuck Boynton: Yes, Ben, as you know, we are one of the strongest balance sheets in the industry. And so I think we are well-positioned. We contemplated Fab 4. I will be going back a couple of years ago. So, we feel like we are in a pretty good place, but having said that as the markets evolve, we will continue to evaluate sources of capital depending on market fundamentals.
Ben Kallo: Great. Thanks, guys.
Operator: Thank you. Our next question comes from Brian Lee. Please state your company name.
Brian Lee: Hey, guys. It’s Goldman Sachs. I had two questions. First on the improved earnings and EBITDA outlook for 2015, great job on that, but I was just wondering if you could help reconcile the slight downtick in deployed and recognized megawatts. Is this volume that’s moving into 2016? And you are simply making up the difference on the bottom line with better mix or maybe margins are expanding faster than expected? And I had a follow-up.
Tom Werner: Well, the short answer, Brian, is yes to what you said. I will elaborate really briefly. We have shifted that mix around the world generally speaking from Japan to North America. The other thing we have done is we have moved PV allocation to some projects that we won’t deploy those that PV until early next year. For exactly the reason you said, that next year is going to be a very strong year and we are actually starting to build next year now. So, it is pretty much what you said and then, yes, it’s a favorable mix. And as I said in my prepared remarks, our cost reduction programs and the performance of our fabs are both on track or better. So, we are benefiting from good mix and really good cost performance. So, it’s what you said I just would expand a little.
Brian Lee: Okay, great. That’s helpful. My follow-up was just on China, I know you talked Tom a lot about Fab 4 and how that’s on track. But just curious if you could update us on the status of the manufacturing build-out out in China, particularly what milestones there are for each of your JVs to reach construction if they are having already and then what you might be expecting on timing? And if I could just squeeze one last one in on that front, the monetization strategy you are targeting, whether it’s on laminates versus project development on each of those? Thank you.
Tom Werner: Yes. So, in China, the marker that’s most significant is we have installed almost 100 megawatts and we have energized two projects so far. So, we are putting real projects in, real PV in, real performance generating electricity, which means that we have learned how to do the complete development cycle. And it means that our first JV is working where we provide five minutes, turn those into receivers and then make a C7 system in the field. That whole supply chain is in place and working. The second JV is developing projects. We have a significant pipeline and we will give the status of that pipeline and how we expect to deploy that on an Analyst Day as well as other lessons learned. In terms of monetization, it’s also a really good question. Currently, our strategy is exclusively selling laminates. And what we found though is we do add value downstream in the value chain and so we are certainly contemplating and evolving what we do in China, but today it is exclusively monetizing the laminate.
Brian Lee: Okay, thanks a lot.
Operator: Thank you. Our next question is from Krish Sankar. Please state your company name.
Krish Sankar: Yes, hi. It’s Bank of America Merrill Lynch. Two quick questions. One for Chuck, in a scenario, where 8point3 is unable to acquire assets in the future what alternatives do you guys have for SunPower for those specific assets?
Chuck Boynton: Yes. Thanks, Krish. So, we have talked with us a lot on other calls with 8point3. There is a couple of key points. One is the projects that we are going to sell. We will do our first dropdown announcing the call in early ‘16 and we are planning that right now with the team at 8point3 in the conference committee. Going into the future, we have a lot of demand for our projects. We did state that we will sell projects outside of 8point3 as well and we are looking at different financing structures, for example, a 51%, 49% ownership structure would aid in that. And so our plan I think evolves, but we feel like we are in a really good position with 8point3. You have got a solar specific entity that has – we think has the cost of capital advantage versus other YieldCos and has two world class companies behind it, probably the highest quality uptick of any of the YieldCo’s investment grade counterparties and we are under-levered. So, there is a lot of capacity for borrowing there. So, we think that there is – we will run the play. We think 8point3 can successfully buy projects with issuing equity for a period of time.
Krish Sankar: Got it, got it. That’s very helpful, Chuck. And then this is a follow-up, clearly really nice margins on the commercial side and it’s nice to see that finally improve us a couple of quarters with low margins. Kind of curious how do we think about the commercial margins going forward? And what would you consider a sustainable run-rate for these commercial projects?
Howard Wenger: Hi, this is Howard Wenger. I will answer that. Yes, we are really thrilled with the performance of our commercial team. We are growing the business quite rapidly, 50% quarter-on-quarter, year-on-year, really strong performance. And we just unveiled the Helix Turnkey solution, which is the first fully integrated commercial solar power solution. And what that does is lower cost both on the BOS and the supply chain and also on the installation side and provides a more reliable higher performing product. And so that positions us well for the future. We will see that take hold as we go forward in terms of realizing those benefits and seeing those benefits in our financial performance going forward. And until that time, it will be influenced by larger projects like we saw in this quarter with University of California data, which is actually a very large commercial project where we got the benefit of that project in this quarter. So, we are excited going forward with our product portfolio and you should see that in our financial results.
Krish Sankar: Thanks a lot.
Operator: Thank you. Our next question is from Patrick Jobin. Please announce your company name.
Patrick Jobin: Hi, good afternoon. Credit Suisse. So, Tom, you made some comments on 2017 and ‘18 kind of with the pipeline building there, can you put any more details around that? And then related to that kind of with the ITC uncertainty or what happens there, at what point do you think we start to see RFPs and more PPAs get signed for ‘17 and ‘18? Thanks.
Tom Werner: Let me take the latter first. The timing of – I think you see more activity in ‘17 is still a quarter or two away and it’s because I think this is we are still in ‘15, there is still how do you project the ITC in Q1 of ‘17, one. Two, it’s with the uncertainty, it’s a clear catalyst for business between now and January of ‘17. And so there is – you need to digest all of that business and determine what your strategy is, and I think that’s pretty occupied both customers and companies like SunPower. So I think you get out a quarter or two. And as we introduce things like Helix that pull cost out of the product, we are in a position to offer our customers economics in ‘17 that we think will work, but we have got to work that out with our customers. And as I mentioned, we expect to be able to talk more about that and give better clarity over the next quarter or two. In terms of our view on ‘17, I would say I will comment briefly now and I will say more at Analyst Day, but we are of course modeling what is a 10% commercial and utility ITC look like and what cost points they need to be at. And then was your residential business look like without it, at least on the cash side of the business. And that affects what my comments were. It’s our belief that we would be in materially good shape in ‘17, but again in terms of giving you specific project announcements or specific guidance, I will save any of that for Analyst Day.
Patrick Jobin: Got it. And just a follow-up, so I guess there are some companies in the space pivot a little bit more towards selling to third parties, as opposed to yieldco capital formation, have you seen with that increased supply, any change amongst potential buyers of third party assets, given your hybrid model here? Thanks.
Tom Werner: Well, I think there is a change. I mean if some companies are actively selling all their projects to raise capital, I think we are in a good position, because the quality of our assets, the quality of our technology and there is demand for our projects. I think we are world-class in development and we think we have the best technology. So there is strong demand for our projects.
Patrick Jobin: So the pricing level has changed or hasn’t changed?
Tom Werner: Hard to say, I would suspect it has changed, because there is lots of companies have announced selling assets. And I think supply and demand. But I don’t have an exact data point to give you.
Patrick Jobin: Okay, thank you.
Operator: Thank you, speakers. Our next question is from Vishal Shah. Please state your company name.
Vishal Shah: Hi. Thanks for taking my question. I just had a question on the U.S. market, considering your stronger presence in the U.S. market, how do you think 2016 demand shapes up, is it going to be more front half loaded, especially considering a lot of the projects need to get modules in order to get completed by the end of the year?
Howard Wenger: Hi Vishal, this is Howard. Yes, I think you can expect particularly the first three quarters of the year should be quite strong. But as we go into 2017, we are certainly planning to have a smooth transition from ‘16 to ‘17. And we are planning our business around the ITC going from 3% to 10%. It is possible that there could be additional language that changes the equation there, but that’s not over planning for. And so that means to run the business, we have got to keep innovating. We have to keep reducing cost and we have to make sure that we have the installation EPC capacity, selling capacity to deliver all the way through ‘16 and into ‘17. But yes, you should see stronger demand in the first three quarters. Of course, we have projects. We are also going to be delivering through the end of the year. So for some power, you know our model, so we have got commercial projects and power plant projects that we are also going to be delivering, so we should have a good profile.
Vishal Shah: That’s very helpful. And can you just maybe talk about your residential business, what kind of margins do you assume for the next couple of quarters, 22% was a very strong performance in the third quarter. You think that kind of run rate is sustainable and what your mix will look like within residential and commercial in the U.S. next year? Thank you.
Tom Werner: Yes. We should see steady pricing, steady margins in residential and a very good balance between residential and commercial in terms of mix. 50-50 is a good benchmark to continue to model the company. Okay, next question please.
Operator: Thank you, speakers. Next question is from Julien Dumoulin-Smith. Please state your company name.
Julien Dumoulin-Smith: UBS. Good afternoon.
Tom Werner: Hi, good afternoon.
Julien Dumoulin-Smith: Hi. So just quick follow-up on the residential conversation, just perhaps elaborate a little bit on what’s going on with the 2015 targets, bringing that down a little bit here. How are you thinking about basically hitting the wall in terms of when you need to get bookings done to make sure they are deployed in time by year end ‘16 for ITC, you talked about the 50-50 mix there, can you elaborate when you will have a previous shot I imagined it’s probably earlier on in the year than later and also how you see that evolving just given the slight downtick on the full year ‘15 guidance?
Chuck Boynton: Hi Julien, it’s Chuck. Thank you for the question. First on the residential numbers what you are seeing is a little bit of a shift. What we have done is we have shifted some volume out of Japan, which was residential into our commercial and PowerPlant segments. So you are seeing just a little bit of a shift in ‘15 to quite frankly, earn better margins. And so, it’s helped with our beat and race and that part of the megawatts going into our commercial business are recognized this year. And then as Tom mentioned earlier, I think on the first question, we have – we are far along building out a very large power plant project and we have that PV reserved for deployment in early next year.
Tom Werner: On commercial and residential mix, Julien this is Tom. I will add a few comments or one comment. We have decided well over 1 year or 2 years ago that commercial was going to be a key segment for the industry and for SunPower. So we invested in product development and we see output of that investment in the form of Helix. We have also added other capabilities, including EnergyLink, which is software we have created with EnerNOC that allows customers to manage load with solar generation and do some really creative stuff. And in some cases we are adding storage to that. So we are really evolving in the investment in commercial and we expect that to pay dividends. Therefore from our perspective, because we put the investment and we expect it to grow faster and that’s not only ‘16, but I would say that’s through ‘17. And for commercial customers, we look more like an energy company as we integrate the load management software, we called EnergyLink with storage and with our PV systems. So we think that business a better ability to write through ITC disruptions and therefore we are investing disproportionately.
Julien Dumoulin-Smith: Got it. Excellent. But just in terms of timing that we should really imagine in the first half there you should probably get a pretty good sense even on the resi side, right?
Tom Werner: Yes. Sorry, I didn’t answer that part. The answer to the question, yes I would think even as early as Q1 and I have a very good sense of that mix of business. And of course, you will be rewarded to be very good at installing systems late in the year, committing and getting them installed. So imagine the profile that Vishal was asking about certainly would be front end loaded. But we will be very motivated to keep it level loaded even if ITC does have a change in January ‘17.
Julien Dumoulin-Smith: Alright, excellent.
Tom Werner: Okay. We are going to take one more question from Cowen I believe.
Operator: Thank you. Our next question is from Mr. Jeff Osborne. Please state your company name sir.
Jeff Osborne: Yes. It’s Cowen and Company. Thanks Tom for squeezing me in. I just had a question – two questions, one on the residential side, is there any noticeable trend, new states evolving for you guys and then can you just articulate what the importance of California, given the AB 327 discussion there. And then for Chuck, maybe can you just touch on the financing environment, any noticeable trends over the past three months on the debt side or tax equity side. You certainly discussed the 8point3 positioning, but just curious on the two other variables that you have from financing would be helpful? Thank you.
Howard Wenger: This is Howard. I will take first part on res. California is really important for the U.S. market, it’s going to continue to be – it’s got the right political or regulatory climate, frankly, in addition to having fantastic demographics, rate structure, solar radiation, all the other attributes that make a great market. So there is a lot of momentum. The Governor signed the bill that’s going to require 50% of all of the energy in California coming for renewables going forward. And so that’s going to be a driver. But the new regulatory regime is also going to provide a very good durable rate structure past net metering we are not going to, we are projecting that we are not going to be burdened by any net metering cap. So, virtually, we are going to be uncapped as a market in California. So, that’s good. Other states that are coming online, we are seeing very positive activity in places like New York, New Jersey, Massachusetts, some places where the tax credit is rolling off like North Carolina are good because of that feature, but in Hawaii, still good interesting market moving towards self consumption. And as the costs go down in the post-ITC world, you are going to see the top 80% of the demand comes from like the top 5% in states, you are going to see that expand to like top 15 states. So, that’s good. It’s going to be a more diverse market. Chuck?
Chuck Boynton: Yes, thank you, Jeff. So, on the financing side, one, we continue to do project debt for commercial and large scale utility projects. There is no real change there. And there is we think a pretty deep market and supply of tax equity investors and great partners there. On the residential side, we have done and we are always putting new funds together for tax equity. We see an abundant supply of tax equity for our programs. We think ours are pretty conservative and well run in our lot of repeat investors. I will also point out we have done back leverage for residential, which has provided great capital alongside tax equity for residential. We are working on ABS as well. We have talked a lot about ABS in the past. We were working on an ABS deal, but we did the 8point3 IPO instead and sold roughly 6,000 leases to 8point3. We are now working again on an ABS fund in the future that will be exciting and work alongside tax equity to help finance residential.
Tom Werner: Jeff, thank you for your question and thank you all for joining the call. We look forward to seeing you on Analyst Day – at SunPower’s Analyst Day on November 12. We will start at 8:00 a.m. with the product demo 9:00 a.m. for our formal remarks and we look forward to seeing you then. Thank you.